Company Representatives: Dylan Lissette - Chief Executive Officer Cary Devore - Chief Financial Officer Kevin Powers - Head of Investor Relations
Operator: Good day! And thank you for standing by. Welcome to the Utz Brands, First Quarter 2021 Earnings Conference Call. At this time all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded. [Operator Instructions].  I would now like to hand the conference over to your speaker today, Kevin Powers, Head of Investor Relations. Thank you. Please go ahead.
Kevin Powers: Good morning and thank you for joining us today. On the call today are Dylan Lissette, Chief Executive Officer; and Cary Devore, Chief Financial Officer. During this call management may make forward-looking statements within the meaning of the Federal Securities Laws. These statements are based on management's current expectations and involve risks and uncertainties that could differ materially from actual events and those described in these forward-looking statements. Please refer to these risk factors and our most recent quarterly report filed with the Securities and Exchange Commission, as well as risks highlighted in the our press release issued this morning for a detailed discussion of the risks that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. Please note, management's remarks today will highlight certain non-GAAP financial measures. Our earnings release also presents the comparable GAAP numbers to the non-GAAP numbers and reconciliations of the non-GAAP results to the GAAP financial measures. Finally, the company has also prepared presentation slides and additional supplemental financial information, which are posted on Utz's Investor Relations website. You may want to refer to these slides during today's call. This call is being webcast and an archive will be available on our website. And now, I'd like to turn the call over to Dylan. Dylan.
Dylan Lissette: Thanks Kevin and good morning everyone. In the first quarter we continue to execute against our value creation strategies to position the company for long term success. Our net sales increased 18% and our adjusted EBITDA grew 30% and we remain on track to deliver on our full year 2021 sales and profitability targets.  As we lap our significant outperformance versus the category in the early weeks of the COVID-19 pandemic last year, our retail sales increased 5.9% on a two year CAGR basis and showed continued strength across our platform. Importantly our new buyers and repeat rates showed strength and they increased versus prior year and remain consistent with where we ended fiscal 2020.  We continue to further penetrate key channels like e-commerce and convenience and we are driving distribution gains in our emerging and expansion geographies. In addition, we went live on our ERP implementation that will better enable our growth platform to scale and we remain on target to increase productivity from 1% to 2% of cost of goods sold in 2021.  Lastly, we continue to execute on our strategy of making accretive, strategic acquisitions focused on U.S. branded snacking and delivering strong synergies. To that end, earlier this week we announced the acquisition of Festida Foods, which is the largest manufacturer of our ON THE BORDER tortilla chip brand. We expect this acquisition to close in the second quarter of 2021 and on that note, our M&A pipeline continues to remain robust as we expect to continue to enhance our growth, capabilities and margin profile with value enhancing acquisitions.  Looking a little closer at the numbers in the first quarter, net sales grew over 18% in the quarter and we estimate that the February snowstorms had a 200 to 300 basis points impact on our growth rate. Importantly, our pro forma net sales increased over 4% on a two year CAGR basis and this included about a 1% impact from the storms.  As it relates to our review for the full year, our first quarter results were relatively in-line with our expectations and we continue to expect sales to increase sequentially as planned into the second quarter and we remain on track to deliver our full year results. From a profitability perspective, adjusted gross margins expanded to nearly 39% and adjusted EBITDA margins increased to over 14% of sales, reflecting the addition of Truco, which generates a strong adjusted EBITDA margin.  Before we dive into your IRI retail sales results, I'd like to take a minute to revisit how COVID-19 impacted our results in 2020. This should provide some helpful context for our first quarter 2021 results and for how we expect our sales gains to play out this year.  As we kick off 2021, we begin to lap significant market share gains that we experienced in early 2020. During the early pantry loading stages of the COVID-19 pandemic, we reacted quickly to maintain and grow in-stock positions, which better enabled our retail customers to meet immediate and heightened consumer demand.  For example, in the four week period ended April 19, 2020 the category grew 10% while Utz Brands grew 25%. As we move through the remainder of the year, we maintain strong sales momentum and saw share gains and we gained new buyers of Utz products, which increased by 3 million to approximately 61 million at the end of 2020.  Not only do we have more buyers of Utz products relative to the prior year, but we also increased our rate of repeat purchases. This continues to suggest stickiness amongst our new buyers and consistent with our long term value creation strategy, we will increase our marketing brand investments to better enable buyer retention.  In 2021 we will significantly increase our working media spend and invest in highly targeted media buys on platforms like Snapchat and TikTok. Additionally, we will invest in both our expansion and emerging geographies to support new distribution as we grow.  Now let’s take a few minutes to discuss our IRI retail sales trends and results. Given the significant outperformance versus the salty snack category in the earlier months of the COVID-19 pandemic last year, we believe that evaluating our results on a two year basis is a better indicator of overall performance. That will be our approach this quarter and to that end, as we lap COVID-19 pantry stocking, we are driving very strong two year growth rate, led by our Power Brands, which continue to outperform the category. From a retail sales perspective, for the 13 week period ending April 4, 2021 our Power Brands momentum continued growing at a two year CAGR of 7.6% versus the salty snacks category growth of 6%. Foundation Brands declined 4.3% and this is consistent with our strategy to continue to emphasize our collective efforts around our Power Brands.  Additionally over the past two years, we have grown Power Brands from approximately 84% of sales to 87% and as noted, we will continue to focus on marketing and innovation efforts around our Power Brands, which remains a critical focus for our company.  Turning to our growth drivers in the quarter, we grew sales on a two year CAGR in five of our key salty subcategories and we also drove double-digit sales gains in Salsa and Queso. From a share perspective, we gained share across potato chips, tortilla chips and Pork Rinds over the two year period, which comprised about 65% of our retail sales.  In potato chips and tortilla chips, our two largest categories, we significantly outpaced the category, highlighted by growth in Zapp's of nearly 24% and our newest Power Brands ON THE BORDER continue to outpace the tortilla sub category growing 7.2%.  During the quarter we also successfully continued our [inaudible] strategy of continued geographic expansion. Even as we faced very difficult comparisons to prior year, we drove a year-over-year growth in our expansion and emerging geographies while driving significant outperformance versus a category on a two year basis.  We continue to benefit from the geographic expansion efforts that have been underway for decades and our acquisitions are helping to fuel this expansion. The strategy is enabling incremental growth for our Power Brands, which remained under developed in our emerging and expansion geographies leading to continued white space for future growth and expansion.  For the core perspective, over the last two years our total portfolio growth trends are below the category, but more importantly, our Power Brands performance within the core is nearly in line with the category. Our overall core performance is driven by both, a decline in our good health brands and the negative impact of our foundation brands, both of which are more heavily weighted to our core.  For an additional frame of reference, our Power Brands in the core, excluding good health, increased 5.5% on a two year CAGR basis, which outpaced category growth of 4.9% in the core by about 60 bips. It's important to know that we have a targeted set of actions that we are executing to drive improvement in the core for our Power Brands as we move throughout the year, and we remain focused on this area of opportunity.  In addition, core performance will benefit from unlocking beyond the border distribution opportunity. Wrapping up our retail sales insights with a look at our channel growth, we continue to drive two-year share gains in grocery, club and C-store. Looking specifically at grocery, which showed strong growth through COVID-19, our Power Brands grew nearly 10%, significantly outpacing the two year category growth of 6.7%.  Our most underpenetrated channels, namely Mass and C-store remain a continued opportunity for future growth. We are focused on expanding our C-store presence through new retailers wins and strengthen distributor relationships, and we have seen share growth for the Utz platform with growth in the Utz Brand, our TGIF Brand and our Zapp’s brand, which generated tremendous two-year growth of about 25% in this important channel.  In Mass, we are focused on driving distribution by leveraging our national scale, unlocking our DSD sales force and selling an expanded brand portfolio. In Mass we underperformed the overall category on a two year basis, primarily due to our ON THE BORDER brands, excluding ON THE BORDER Utz grew 7.4% for the two year period. We expect the trends in Mass to normalize as the year progresses, and as some of our larger direct programs in 2021 take place after the first quarter, and we are confident in our continued opportunities for success and growth in this very important channel.  Before I turn the call over to Cary, I'll make just a few final remarks on our acquisition progress. This is a key element of our value creation story, given our unique positioning within the category and our team's ability to execute well on M&A and I'll share a few thoughts on our progress.  Truco and Vitner’s are our two most recently closed acquisitions and the teams are working very well together. We are deploying our proven integration playbook and we remain on track to deliver our expected cost synergy targets, across manufacturing, procurement and SG&A.  From a revenue synergy perspective, we're also very pleased with our early progress. We see opportunities abound for the ON THE BORDER brands within our DSD system and we are winning new customers and gaining placement in new channels. We are seeing new distribution for ON THE BORDER across multiple channels such as grocery, drug, C-store and dollar.  To that end we recently gained placement for new and incremental DSD distribution for ON THE BORDER with a key small format customer that has the potential to reach nearly 10,000 stores. We remain very excited about the contributions of this wonderful tortilla chips and salsa dip brand that will bring to us long term, especially in our core geographies.  From a Vitner’s perspective, we believe the brand in the platform will benefit from our DSD management oversight and focus and we are leveraging the Vitner's DSD network to introduce more of our Power Brands into Chicago and the Midwest. For example, within a month of closing of Vitner's we began shipping both Power Brands into the Vitner's DSD systems and we are seeing strong early reads on growth for these brands and we are driving continued market share gains in the region.  Lastly, I’d like to discuss our latest strategic acquisition, Festida Foods. We are very excited about this announcement and the value that this brings to our company. Festida located in Grand Rapids Michigan is a leading manufacturer of tortilla chips, corn chips and pellet snacks, and is the largest co-packer of tortilla chips for our ON THE BORDER brands. We expect that this acquisition of Festida will enable strong supply chain productivity and synergies and enhance our ability to expand on an accelerated basis, both be ON THE BORDER brand and other Utz Brands geographically in the Midwest.  Over time we intend to invest in additional production capabilities in the manufacturing plant, to support growth in other salty snack subcategories and we expect that this will enhance our ability to better serve its products, and future retail customers in that area. We also recognize the importance of Festida’s current longstanding customers and we look forward to continuing to service them going forward.  In summary, I'm very proud of our first quarter results. This is our third quarter of reporting as a public company, and we continue to drive our long term value creation strategies that we believe will continue to enhance both short-term and long-term shareholder value. In a quarter with a mix of challenges and great accomplishments, I continue to be very thankful for the tremendous efforts from our entire team. We have built the third largest branded salty snack platform in the U.S. and we continue to drive forward as we embark on what we call it as our next century of growth.  And now, I'd like to turn the call over to Cary Devore, our Chief Financial Officer. Cary.
Cary Devore: Thank you, Dylan, and good morning everyone. As Dylan mentioned earlier, the year began in line with our expectations. Net sales increased 18% to $269.2 million, adjusted gross margins expanded to 38.8%, adjusted SG&A was consistent at 25% of sales, and adjusted EBITDA increased 29.8% to $37.9 million or 14.1% of sales.  Finally, adjusted net income increased 65.1% to $19 million and adjusted EPS was $0.13 based on fully diluted shares on an as-converted basis of $142 million. As a reminder, our non-GAAP share count reflects the combination of total outstanding shares and assumes the net settlement of private placement warrants resulting from our business combination with Collier Creek Holdings.  Moving to the details, our net sales growth in the quarter was driven by price mix of 1.9% and acquisitions of 21.5%, partially offset by volume declines to 4.7% and the impact of our IO Rout conversions, which reduced the net sales growth rate by 60 basis points. The volume decline was primarily due to lapping significant growth in the early weeks of the COVID-19 pandemic. In addition, volumes were also impacted by the February winter storms across many of our core regions.  Finally, looking at net sales on a two year basis, which helps to normalize the impact from COVID-19 pro forma net sales increased 4.3%, which is in line with our long term growth outlook of 3% to 4% per year.  Moving down the P&L, I'll discuss our margin performance. In the first quarter we expanded adjusted EBITDA margins by 130 basis points to 14.1%, decomposing the increase in adjusted EBITDA margins for the quarter, positive drivers include price mix of 80 basis points, productivity improvement of 20 basis points, SG&A of 10 basis points and 130 basis points from our acquisitions, largely driven by Truco.  Partially offsetting these factors were headwinds of volume of 60 basis point, inflation of 10 basis points and 40 basis points from higher delivery costs, largely due to higher spot market rates and contract delivery costs. As a reminder, delivery costs which are essentially freed out are included in selling and administrative expense on our income statement and not in cost of goods sold.  Turning to our balance sheet, and other key points, at the end of the quarter our liquidity remains solid with availability on our ABL credit facility of approximately $93.4 million. Cash and cash equivalents were approximately $4 million, which reflects using $25 million of cash to fund the Vitner's acquisition as well as working capital seasonality.  Moving down the balance sheet, just a brief reminder that during the first quarter we completed a term loan refinancing and placed a new $720 million Term Loan B. This new term loan, coupled with exercising the public warrants, which brought in approximately $181 million in cash, enabled us to repay in full the $490 million bridge credit facility used to fund the acquisition of Truco Enterprises and the ON THE BORDER brand, as well as refinance the pre-existing $410 million Term Loan B due 2024.  Net debt at quarter end was $739.2 million or 4x normalized further adjusted EBITDA of $186 million. We expect net leverage to improve throughout the year as cash flows increase and our net leverage ratio target at the end of the year remains approximately 3.5x.  Before I discuss our outlook for 2021, I'll give a brief update on our IO Route conversion progress. After we paused last year to accommodate the COVID-19 impact and the ERP implementation, we resumed our conversion and company owned routes to independent operators. In the first quarter we converted approximately 40 routes and we continue to expect to finish the conversion in the first half of 2022. As we’ve spoken to before, we believe the IO conversion strategy is incremental to long term organic growth and is accretive to EBITDA margins and cash flow.  Turning to guidance, we remain on track to deliver another strong year for Utz as our momentum builds throughout fiscal 2021. As indicated in our press release this morning, today we are reaffirming our full year financial outlook for fiscal 2021. We continue to expect full year 2021 net sales to be consistent with 2020 pro forma net sales of $1.16 billion. As a reminder, our 2020 pro forma net sales is on a 52 week comparison basis. Assumes we owned H.K. Anderson and Truco on the first day of fiscal 2020 and assumes $20 million of net sales for Vitner's to align with expectations for fiscal 2021.  We continue to expect modest organic sales growth year-over-year even as we lap fiscal 2020 organic growth of over 8%. Additionally, we expect pro forma sales to grow about 6% on a two year CAGR basis, which is above our long term growth outlook 3% to 4%.  Moving to adjusted EBITDA, we continue to expect a range of $180 million to $190 million versus 2020 further adjusted EBITDA of $181 million, delivering a margin of approximately 16%. Included in our 2021 assumptions is the contribution of $48 million to $52 million from our acquisitions of H.K. Anderson, Truco and Vitner's.  Also included in our EBITDA assumption is commodity inflation of about 4% and we remain focused on pricing and price pack architecture to help offset this cost pressure. In fact, in the last two 12 week retail sales periods, we have seen momentum in our pricing actions, and as they build they will contribute even further to our efforts. Additionally, we expect to increase productivity from 1% to 2% of cost of goods sold, which helps to offset inflation upon continued incremental marketing spend.  Finally and as I mentioned earlier, we're in the process of converting routes from company owned to independent operator and this conversion increases the rate of growth for sale discounts, which negatively impacts net sales and gross profit. For adjusted EPS, we continue to expect a range of $0.70 to $0.75, which assumes fully diluted shares on an as converted basis of approximately $142 million.  On slide 20 in our earnings presentation, you'll find additional assumptions supporting our 2021 outlook. These remain consistent with our outlook provided on our fourth quarter call, with one small revision to our D&A assumptions. We continue to expect core D&A of between $25 million to $27 million, but we now expect step-up D&A of between $50 million to $53 million versus our previous expectation of $57 million to $59 million. Additionally, we now expect a mix of 40% in cost of goods sold and 60% in selling and administrative. As a reminder, step up D&A is excluded from adjusted net income.  Of note our fiscal 2021 outlook excludes the impact of the pending acquisition of Festida Foods. The total purchase price is $41 million and is subject to customary purchase price adjustments. The purchase price represents 5.1x fiscal 2020 pro-forma adjusted EBITDA of $7 million, assuming $5 million in net present value from expected tax benefits and $1 million in expected selling and administrative costs run-rate synergies. We expect the acquisition to be accretive to earnings in 2021 and beyond. It is subject to customary closing conditions, and we expect to close in the second quarter of 2021.  Before we open the call for Q&A, I just want to comment on our fiscal 2021 seasonality, that we hope will help you from a modeling perspective. Consistent with our prior expectations, we expect our first quarter of 2021 will be the low point in terms of both net sales and margins. As we move throughout the year and consistent with our normal seasonality, we expect that for net sales the third quarter will be our largest quarter of the year followed by Q2 and then Q4.  From a margin standpoint, we also expect that the third quarter will be our highest margin performance followed by Q4 and then Q2. We expect better margins in the fourth quarter relative to our second quarter, as our pricing and productivity initiatives are more weighted to the second half of the year.  I’d now like to ask the operator to open the call for questions. 
Operator: [Operator Instructions] Our first question comes from Rupesh Parikh of Oppenheimer. Your question please.
Rupesh Parikh: Good morning. Thanks for taking my questions. So I guess I wanted to start off first with the winter storms. Which geographies did you see the most impact related to the storms, and then just more color in terms of why – you know I guess what drove that 200 to 300 basis point headwind?
A - Cary Devore: Hey Rupesh, this is Cary. I'll take that. So it was more of our core regions, mid-Atlantic and Northeast, logistics related mainly. We were converting our largest warehouses in Hanover and switching to a new order processing and fulfillment system as part of our ERP go-live, and as part of that we plan to put more inventory, extra inventory closer to our customers, but the February storms in these regions prevented us from doing so, which led to some out-of-stock. But it was transitory and shipments you know quickly resumed to normal and we remain on track to hit the year. 
Rupesh Parikh: Okay, great. And then I guess my follow-up question. So just on the core geography under performance, I know you guys gave some good color in terms of some of the drivers of the under performance. So it sounds like good health is where you plan to focus on to drive the permit. So do you think about the upper sale, I guess with you health brand and to drive that, maybe at least in line with the category. How long do you think it takes and just any more color in terms of I guess the types of efforts through the performance. 
A - Dylan Lissette: Hey Rupesh, thanks for the question. This is Dylan. Yeah, the core markets in general are you know good health as you noted and the foundation brands that we sell into those markets. Foundation brands are where we utilize power brands. In the entire country it’s 87% of our sales. In the core it's only 85%, so we’re over weighted for foundation and we have a heavier index to good health in that market. So when we really rip it apart and looked at like our power brands and we look at good health and we look at our power brands without good health in a couple different ways, we have really strong sales results in our core. So we're focused on fixing and turning around good health and we're also focused on making power brands a bigger part of our sales in the core and that’s happening.  If you do look back two years ago, power brands were only 83% of our sales in the core. Our power brands in the core today are 85%, so making that transformation over time. Much of it is M&A driven as we acquire foundation brands and we convert them into power, but we're making good progress. So you know we feel really comfortable about the future opportunities for the core and note the good health work that has to be done to turn that around. 
Rupesh Parikh: Great! Thank you. I'll pass it along. 
Operator: Our next question comes from Michael Lavery of Piper Sandler. Your question please. 
Michael Lavery : Good morning, thank you. 
Dylan Lissette: Good morning!
Cary Devore: Good morning!
Michael Lavery : I just wanted to come back to the margin piece and your seasonality color is really helpful, but you know just maybe understand the progressions to the 15% full year and some of the key drivers. Obviously there's some growing inflations being called out to higher marketing costs. How significant is pricing or productivity as a default? What are the keys to getting to the 16% full year number? 
A - Cary Devore: Yeah Michael, this is Cary. Yeah, so look, we’ll – our pricing and productivity is really back half weighted, second half weighted. We only took about less than 10% of the productivity we have for the year hitting Q1, so it's going to ramp as we proceed throughout the year. We have some nice net price realization in Q1, but that really didn't reflect the pricing we took in March. That takes you know a couple of weeks to – a month or two to get closer to the retailers. So we expect meaningful improvement in price as we go throughout the year, as well as productivity. So when you look at kind of the first half versus the second half of the year, you know it's going to be a higher margin in the second half, in a meaningful way relative to the first half. 
Michael Lavery : Okay, that's helpful and maybe just sort of follow-up specifically related to that. One is, on the pricing you said that you expect about 4%. I mean it's pretty easy math, but obviously if that's for the full year and you were around the 1.9 a quarter, your back half numbers would be above that pretty nicely. Is that the right way to think about it? 
Cary Devore: I think we said, I think we said inflation would be 4% you know, and we’re taking pricing and productivity to offset that. But yes, pricing in general will be more back half weighted because of you know the things we did last year are benefiting the first half of this year and will benefit the second half and then the things we're putting into place you know in Q1 and Q2 and Q3 will obviously benefit the second half more than the first. 
Michael Lavery : Oh Sorry! Yeah, good helpful clarification. And then, I think you called out about $50 million of productivity savings. Can you give any sense of how you're tracking against that so far and how much is left there? 
Cary Devore: Very well. That $50 million was a three-year cumulative number. So as we talked about it, you know historically we're at 1% of cost in terms of productivity take out each year. This year we’ll deliver at least 2%. We’ll be run rating higher than 2% as we exit the year and we expect a meaningful step you know toward the 3% to 4% annual goal next year. So on track and meaningful new projects to hit 2022 as well. 
Michael Lavery : Okay, great. Thanks so much. 
Operator: Our next question comes from Robert Moskow with Credit Suisse. Your question please.
Robert Moskow: Hi! A couple of questions. I just want to make sure that I understood the path of inflation costs during the year. Was Michael right, that it's under 2% in the first quarter and then it scales up as the year goes on to average out to 4% for the year, and if so is that being like – you know it gets up to something like a 6% by fourth quarter. And then you know inflation keeps rising since – even since you last were on the call in March. On a spot basis are you looking at even higher rates of inflation into 2022? When do you start evaluating where you are in these price increases?
Cary Devore: Yeah, good to speak to you Rob. So yeah, the cadence for this year relative to inflation, so 4% still remains the annual target. We didn't see a ton of inflation in our P&L, we were very well covered due to how we cover commodities. So it will be more back half weighted from an inflation perspective than front half weighted.  We're locked in 80% plus you know of our commodities this year, so we feel good about our coverage you know and as we look at 2022, you know obviously inflation at current rates implies inflation next year, but we're going to battle that just like we are this year. You know we’re going to battle that with pricing and productivity. So we're ahead of it, you know we're already starting obviously our plans for next year, to get incremental pricing an incremental productivity to all set what inflation may look like next year. 
Robert Moskow: Okay, okay. And you mentioned mass being a little weaker than the rest of your channels. I thought that that had to do with very tough comparisons that were on the border compared to last year. Is that true or is there anything else impacting execution in the mass channel? 
Cary Devore: Yeah mass, you know looking at retail sales data is driven by OTB. It's still a very you know – our largest mass customer for OTB is still very strong. You know the quarterly trends ebb and flow. If you look at OTB and then the rest of the business excluding OTB, the rest of the business excluding OTB was up you know 7.5% on a two year CAGR basis, so very healthy.  I think you know one thing that’s driving you know that delta between you know 7.5% and where the market was, you know 9.7 is variety packs really drove a lot of growth in mass in the quarter from a retail sales perspective and you know honestly that's the best scenario of improvement for us. We could do better with variety packs, so I think that's an opportunity for us going forward. 
Robert Moskow: And did variety packs kind of hinge on kids going back to school or is it that more information wide speaker or other stuff?
Dylan Lissette: Yeah, this is – well, this is Dylan. I wouldn’t say that variety packs or weighted on back to school activity. I think it's just sort of a trend in general in TPG and salty snacks, that variety packs are just becoming the bigger part of the category, and so we have a lot of opportunity there.  You know speaking about – I think Cary hit it right on. The [inaudible] platform is up about 7.5% on a two year CAGR basis. OTB, that's a – you know mass is a huge channel for the OTB brand and there's sometimes just shifting sort of the cadence of events that occur in mass and you can make a decent difference on a quarterly basis.  Lastly, as I think about mass in that channel, our DSD efforts that go into the thousands of mass retailers that exist across the U.S., our DSD efforts are really strong. So we had this really strong foundational platform of growth and business and volume in Mass via our DSD and so then we layer on the more DTW opportunities that occur specifically more with OTB. That gives us a lot of upside and vision into what the rest of the year will hold and we feel really confident about OTB on its DTW basis into Mass for the rest of the year as well. 
Robert Moskow: Okay, a lot of acronyms, but I think I got them all. Thank you. 
Dylan Lissette: Sorry about that. OTB, ON THE BORDER and DTW is DIRECT TO WAREHOUSE, sorry. Thank you. 
Robert Moskow: You know me, thank you. 
Operator: Our next question comes from Wendy Nicholson of Citi. Your question please. 
Abigail Lake : Hi! This is Abigail Lake on for Wendy Nicholson. We just had one quick question. So you highlighted strong market share performances in many of your key categories like pretzels and like potato chips and tortilla chips. But trends are looking a little weaker in pretzels and we’ve noticed an uptick in social media activity related to pretzels. So is there anything going on in that category from a competitive perspective that could be impacting your performance there.
Dylan Lissette: We are slightly under on a two year basis. We have a lot of innovation that's come out recently and will be coming out, specifically starting in June of 2021 in the pretzel category. There are some brands that are in that category that are growing quite well, and so it's putting upward pressure on the category, subcategory of pretzels in general, you know growing at a more dynamic rate.  We're very large in pretzels. We’ve got at least 40 years of history of making and selling pretzels. The category is strong, the sub category of pretzels is strong, we are strong in it. We have a lot of innovation coming. I can certainly look at it as upside for our brands. I think you will see a lot of the innovation that we do have coming out in the second half of 2021 is related to pretzels. So hopefully that will definitely bolster our category growth or subcategory growth in pretzels. 
Abigail Lake : Okay, great. Thank you. 
Operator: There are no further questions at this time. I would now like to turn the call over to Dylan Lissette for closing remarks. 
Dylan Lissette : Yeah, thank you very much. I just want to thank everybody for joining us today. I do want to thank all the wonderful associates at Utz that have enabled us to continue to execute on our long term growth strategies. We have geographic growth, channel growth, subcategory growth, we layer in our M&A, we have our productivity efforts well underway which we are reinvesting into our brands which creates a very long term value creation strategy that we're all very much aligned behind. So again, thank you very much for joining us tonight. 
Operator: Thank you. This concludes today's conference call. Thank you for your participation. You may now disconnect.